Operator: Good afternoon, ladies and gentlemen. Welcome to the Zumiez, Inc. Third Quarter Fiscal 2025 Earnings Conference Call. Before we begin, I'd like to remind everyone of the company's safe harbor language. Today's conference call includes comments concerning Zumiez Inc. business outlook and contains forward-looking statements. These forward-looking statements and all other statements that may be made on this call that are not based on historical facts are subject to risks and uncertainties. Actual results may differ materially. Additional information concerning a number of factors that could cause actual results to differ materially from the information that will be discussed is available in Zumiez filings with the SEC. At this time, I will turn the call over to Rick Brooks, Chief Executive Officer, Mr. Brooks?

Richard Brooks: Hello, and thank you, everyone, for joining us on today's call. With me today is Chris Work, our Chief Financial Officer. I'll begin with remarks about our third quarter performance and the momentum we're building as we head into the holiday season before discussing our strategic priorities. Chris will then take you through the financials and our outlook for the balance of the year. After that, we'll open the call to your questions. We're very pleased with our third quarter performance delivering top and bottom line results that were up meaningfully versus last year and exceeded our expectations. Comparable sales grew 7.6% on top of a 7.5% increase in the year ago quarter, representing our sixth consecutive quarter of positive comparable sales growth. Once again, it was our North American business fueling our performance as comps in the region accelerated to double digits, bolstering our confidence heading into the critical holiday season. After a successful back-to-school period, sales remained strong throughout the quarter, reflecting the effectiveness of our merchandise assortments and attracting customers who pay full price even during less busy seasons. Encouragingly, our third quarter comp performance was driven by contributions from multiple areas of our business, led by women's and hard goods, which were up strong double digits along with low to mid-single-digit gains from both accessories and men's. High single-digit comps and robust full price sales boosted gross margin, which combined with improved expense efficiency raised operating income significantly year-over-year. Earnings per share reached $0.55 in the quarter, well above the high end of our guidance of $0.29. Looking forward, we are increasingly confident in closing out the year with strong holiday results. The fourth quarter is off to a good start with comparable sales through this past Tuesday, up 6.6%, including an 8.7% comp gain over the Black Friday, Cyber Monday period, which bodes well for the remainder of the holiday season. We are pleased with the momentum we have seen in our results as the year has progressed and are encouraged that we're now seeing comparable sales growth on top of comparable sales in the prior year. We believe that our strategies have the company well positioned to build on our progress over the near and long term. Due to this, we remain focused on the same 3 strategic priorities that have driven our success. First, driving revenue growth through customer-focused strategic initiatives. Our commitment to refreshing our product mix with innovative, distinctive offerings continues to generate exceptional customer response. Momentum from introducing over 100 new and emerging brands annually has carried forward into 2025 with these new and emerging brands representing an increasingly important component of our sales mix and validating our merchandising strategy. Private label performance remains a standout success story, continuing to reach new heights and representing our highest penetration levels in company history. This sustained expansion demonstrates organization's ability to identify emerging trends and create compelling products that resonate with our customers, while simultaneously enhancing our margin profile. Our investments in delivering exceptional customer experiences across both physical and digital touch points, continue to yield results. The enhanced staff development programs and technological capabilities we've implemented allow us to engage with customers through increasingly personalized and meaningful interactions, strengthening the relationships that have been the foundation of our success. Second, sustaining our rigorous commitment to profitability optimization across our geographic footprint. Within North America, our premium pricing strategies continue to support both margin expansion and market share growth. While the operational improvements we've executed throughout the year are generating meaningful benefits. Our continued focus in this area is key to establishing a more efficient and profitable business framework that positions us for sustained success. Regarding our international operations, while Europe continues to face challenging market conditions, we remain committed to our long-term strategy in these markets. We're actively working to drive revenue through our distinctive product offerings, while maintaining our commitment to premium pricing and disciplined expense management. While European comparable sales are down low single digits, the trend line improved from the second quarter, and we continue to see product margin gains through disciplined full-price selling. We have confidence in the long-term potential of these markets, particularly given our ability to identify trends locally in each of the markets before they expand internationally. Third, capitalize on our solid financial foundation to manage volatility by funding strategic expansion. Our financial position remains exceptionally strong, providing us with the flexibility to continue investing in our strategic objectives, while delivering value to shareholders. This financial stability enables us to navigate the ongoing uncertainties in the macro environment, while simultaneously positioning the company for long-term growth. Despite operating in an environment characterized by economic volatility, evolving trade relationships and global instability in certain regions, I'm increasingly confident in our ability to generate value for all of our stakeholders. The fundamental strategies that have powered our success throughout our history, continue to demonstrate the relevance and our team's proven adaptability and execution capabilities fuel my optimism about our trajectory. Our direction remains clear and consistent, maintain our dedication delivering distinctive fashion-forward merchandise through customer connection strategies that have driven our growth, while preserving the operational discipline that has strengthened our financial performance. Before turning things over to Chris, I want to express my appreciation to our entire organization for their continued commitment and adaptability. Your dedication to our values and our customers remains the foundation for all of our achievements. With that, let me hand things over to Chris for our financial review.

Christopher Work: Thanks, Rick, and good afternoon, everyone. I'm going to start with a review of our third quarter results. I'll then provide an update on our fourth quarter-to-date sales trends. Third quarter net sales were $239.1 million, up 7.5% from $222.5 million in the third quarter of 2024. Comparable sales were up 7.6% for the quarter. As Rick mentioned, the primary driver was our North America business, which shows outside strength even as macroeconomic uncertainty spurred by global trade policy continues. For the third quarter, North America net sales were $202.8 million, an increase of 8.6% from 2024. Other international net sales, which consist of Europe and Australia, were $36.3 million, up 1.7% from last year. Excluding the impact of foreign currency translation, North America net sales increased 8.7% and other international net sales increased 3.1% year-over-year. Comparable sales for North America were up 10%, marking the seventh consecutive quarter of comparable sales growth in the region. Other international comparable sales declined 3.9% in the third quarter, but showed sequential improvement from the second quarter. From a category perspective, women's was our largest positive comping category, followed by hard goods, men's and accessories. Footwear was our only negative comping category. The consolidated increase in comparable sales was driven by an increase in dollars per transaction and an increase in transactions. Dollars per transaction were up for the quarter, driven by an increase in average unit retail, while units per transaction were roughly flat year-over-year. Third quarter gross profit was $89.8 million, up 14.7% compared to $78.3 million in the third quarter of last year. Gross profit as a percentage of sales was 37.6% for the quarter compared to 35.2% in the third quarter of 2024. The 240 basis point increase in gross margin was primarily driven by 110 basis points of leverage in store occupancy costs on higher sales and the closure of underperforming stores, 100 basis points of improvement in product margin and 30 basis points of benefit from lower inventory shrinkage. SG&A expense was $78 million or 32.7% of net sales in the third quarter compared to $75.9 million or 34.1% of net sales a year ago. The 140 basis point decrease in SG&A expense was driven by a 110 basis point decrease in non-wage store operating costs and 80 basis points of leverage of store wages tied to higher sales and the closure of underperforming stores. These benefits were partially offset by a 40 basis point increase related to annual incentive compensation. Operating income in the third quarter of 2025 was $11.8 million or 4.9% of net sales compared with operating income of $2.4 million or 1.1% of net sales last year. Net income for the third quarter was $9.2 million or $0.55 per share. This compares to a net income of $1.2 million or $0.06 per share for the third quarter of 2024. In the third quarter of fiscal 2025, we benefited from a onetime tax items, which increased diluted earnings per share by approximately $0.09. Our effective tax rate for the third quarter of 2025 was 26.1% compared with 63.4% in the year ago period. The year-over-year decrease in the effective tax rate was primarily driven by improved operating results, the allocation of losses across the jurisdictions in which we operate and the previously mentioned onetime tax item.

Christopher Work: Turning to the balance sheet. The business ended the quarter in a strong financial position. We had cash and current marketable securities of $104.5 million as of November 1, 2025, compared to $99.3 million as of November 2, 2024. The increase in cash and current marketable securities over the trailing 12 periods was driven primarily by $50.5 million in cash provided by operating activities and the release of $3 million in restricted cash. This was partially offset by share repurchases and capital expenditures of $38.3 million and $12.5 million, respectively. As of November 1, 2025, we had no debt on the balance sheet. During the third quarter, we repurchased 300.000 shares at an average cost, including commission of $18.61 per share for a total cost of $5.4 million. Fiscal year-to-date through November 1, 2025, the company has repurchased 2.7 million shares at an average cost, including commission of $14.18 per share and a total cost of $38.3 million. As of November 1, 2025, we had $1.7 million remaining on the $15 million repurchase authorization approved by the Board on June 4 of this year. We ended the quarter with $180.7 million in inventory, down 3.5% compared with $187.2 million last year. On a constant currency basis, our inventory levels were down 5.1% from last year. We feel good about our current inventory position.

Christopher Work: Now to our fourth quarter-to-date results. Net sales for the 31-day period ended December 2, 2025, increased 7.5% compared to the 31-day period in the prior year ended December 3, 2024. Comparable sales for the 31-day period in December 2, 2025 were up 6.6% from the comparable period in the prior year, and we are seeing changes in foreign exchange positively increased total sales growth by approximately 1.7%. From a regional perspective, net sales for our North America business for the 31-day period ended December 2, 2025 increased 6.7% compared to the 31-day period ended December 3, 2024, while our other international business increased 10.6%, excluding the impact of foreign currency translation, North America net sales increased 6.7% from the prior year, while international net sales increased 2.5%. Comparable sales for North America increased 7.8% for the 31-day period in December 2, 2025 compared to the same weeks in the prior year, while comparable sales for our other international business increased 2.6%. From a category perspective, hard goods was our strongest comping category followed by women's, accessories and men's. Footwear was our only negative comping category quarter-to-date. The increase in comparable sales was driven by an increase in dollars per transaction, partially offset by a decrease in transactions. Dollars per transaction were up for the period, driven by an increase in average unit retail and an increase in units per transaction.

Christopher Work: With respect to our outlook for the fourth quarter of fiscal 2025, I want to remind everyone that formulating our guidance involves some inherent uncertainty and complexity and estimated sales, product margin and earnings growth given the variety of internal and external factors that impact our performance. This is even more pronounced in today's environment with the current tariff situation that adds additional uncertainty and complexity to pricing and the potential to limit the ability of our customer to continue to spend. Our recent trend line in North America has been very encouraging and provides confidence as we head into the heart of the holiday selling season. That said, we think it is prudent to balance our current domestic momentum with some near-term conservatism given the general uncertainty in the macro environment and recent trends where we have seen nonpeak consumer traffic soften. We are anticipating total sales will be in between -- sorry, will be between $291 million and $296 million for the 13 weeks ended January 31, 2026, representing sales growth of 4% to 6%. Total comparable sales are planned to be in the 2.5% to 4% range. This reflects continued strength in North America and comparable sales planned in the 4.5% to 6.5% range. Comparable sales in our international business are planned to be tougher as we anniversary promotional trends from the fourth quarter of 2024. Internationally, we expect comparable sales to be down in the low single digits, with overall growth in product margin dollars year-over-year as we continue our efforts to drive full price selling. For the fourth quarter, we are expecting product margin to increase modestly from the fourth quarter of last year. Consolidated operating income in the fourth quarter is expected to be between 8% and 8.5% of sales, and we anticipate earnings per share will be between $0.97 and $1.07 compared to EPS of $0.78 in the prior year. We estimate that our fourth quarter diluted share count will be approximately 16.5 million shares, which excludes any stock repurchases beyond the end of the third quarter.

Christopher Work: Regarding full year 2025 results, we have performed well in North America during the important back-to-school season and start to the holiday shopping, which is generally a reasonable indicator for overall holiday performance, but continue to experience headwinds with our international business. Overall, borrowing a significant downturn in the economy for the full year, we believe that we'll see year-over-year total sales growth between 4.5%, 5%, and despite the closure of 33 stores in fiscal 2024 and approximately 21 store closures planned primarily in late 2025, which combined, are estimated to have a negative impact on sales of roughly $15 million for the year. We anticipate 40 to 50 basis points of growth in product margin in 2025 on top of 70 basis points of improvement in fiscal 2024. We anticipate driving additional gross margin leverage through other expense categories such as occupancy, distribution and logistics, and finally, we believe that we can hold our 2025 SG&A costs relatively flat as a percentage of sales with our fiscal 2024 results through continued focus on expense management, while also investing in important long-term strategic initiatives. This is inclusive of the previously mentioned $3.6 million settlement of a wage and hour lawsuit in California as well as meaningful growth in our incentive costs on stronger performance. Combined, these expectations will drive a year-over-year increase in operating margins and net profit for fiscal 2025, with anticipated earnings per share between $0.57 and $0.67 compared to a loss of $0.09 in 2024. Included in these fiscal 2025 expectations are the following: 6 new store openings during the year, including 5 in North America and 1 in Australia. We also plan to close approximately 21 stores in fiscal 2025, including up to 18 in the United States, 1 in Canada and 2 in Europe. We expect our capital expenditures for 2025 to be between $10 million and $12 million compared to $15 million in fiscal 2024 and $20.4 million in fiscal 2023. We expect that depreciation and amortization, excluding noncash lease expense, will be approximately $22 million, in line with the prior year. And while the effective tax rates have fluctuated significantly by quarter, we anticipate our full year effective tax rate will be roughly 51% to 54% in fiscal 2025. We are currently projecting our diluted share count for the full year to be approximately 17.2 million shares, which excludes any stock repurchases beyond the end of the third quarter. And with that, operator, we'd like to open the call up for questions.

Operator: [Operator Instructions] Our first question will come from the line of Mitch Kummetz from Seaport Research Partners.

Mitchel Kummetz: Rick, maybe we can start on hard goods. Could you elaborate on what's driving the strong performance there. I think you said it was double-digit comp in the quarter, and it seems to be your leading category for 4Q to date. I mean, the bulk of your hard goods business, if I recall, is skate. I'm wondering if you're getting any contribution from snow in Europe? Or what kind of trends in skate are you seeing in the U.S. that's driving this?

Richard Brooks: Thanks, Mitch, for the question. The driver here to be clear is skate. And it is true across our global regions here in North America as well as improvements in Europe and Australia, too. And I think what we're finally seeing, Mitch, is the reversal of a multiyear negative trend, which has been very painful for us over the last few years. And as you know, and we've discussed in 2020, we reached an all-time high, I think, like a lot of things with bikes, hiking, camping gear, all so much volume got moved into 2020, things you could do outside on your own because of pandemic. And our skate hard goods business at that point reached an all-time high for us. And here in '24, we reached -- in '24 reached an all-time low. So I think what we're finally seeing, Mitch, is a turn in that business. And we're cautious, optimistic now that we're going to see that turn play out over the next few years as we typically would in a new skate hard goods cycle. We'll have to see how that goes on holiday though. And our holiday typically is a good -- and as reflected in November, typically is a -- skate is a good gift-giving category in holiday. So I feel, again, optimistic about how we're positioned there. But I think Mitch this was the long awaited after 4 painful years of massive declines in skate hard goods, this is the long-awaited turn that we've been looking for.

Mitchel Kummetz: That's helpful. And then Chris, on the fourth quarter outlook, you guys were obviously performing well through the first 31 days of the quarter. What are your comp assumptions for the balance of the quarter? I mean, I think you said that you're taking a conservative approach just based on some consumer uncertainty. But can you kind of fill us in on kind of what sort of comp is embedded over the balance of the quarter to get to your guide for 4Q?

Christopher Work: Yes. I think, Mitch, as we think about the guide, we are assuming on the North America side, that it will just be a little bit softer than what we saw here in November. We saw good November. Obviously, highlighted, as Rick pointed out in his commentary by the Black Friday and Cyber Monday weekend was our strongest point, but we would expect it to slow a little bit here in the interim weeks between Black Friday, Cyber Monday and obviously, the important holiday week right at the end of December. So we are planning just a slight deceleration from November for North America. And on the Europe side, we're really encouraged by where November came in positive comparable sales and margin growth as well, really magnifying the impact to product margin dollars. But we also know, as we commented in the call that we had some promotional activity in December and January of last year, and that resulted in a benefit to sales, but obviously a detriment to margin. And so as we look to anniversary in 2025, we are looking for that trend line to decelerate and turn negative again after being positive in November. But at the same time, driving product margin dollars. So what you would expect to have product margin increases that would offset that sales decline. And that's what we are planning the business at. So the run rate from here for December and January is a negative comp in Europe that would offset those gains that we had in November.

Mitchel Kummetz: Got it. And then on the private label business, just maybe speak to the performance in the quarter, where is the penetration today? And how much contribution are you getting from private label in terms of your product margin?

Christopher Work: Yes, I'll take a shot at some of the -- quantifying it and then let Rick add whatever he'd like to add. I mean we are incredibly encouraged by our private label as we've talked about for a number of quarters here. And I think what we're really proud of our teams here is their ability to drive trend. I think that we are seeing more and more customers come into our store, asking for our private label brands because they see them as brands and they're willing to pay full price for the value and what they see in those brands. And so that's an exciting thing for us. As you pointed out, we have seen continued penetration in private label. It's up just right around 200 basis points year-over-year to date, meaning it's growing 2 full percentage points as a percent of our overall sales. So really happy with that and happy with how the business is trending. It does run at a higher product margin, but it also is part of our overall ability to continue to add value for our customers, too, where we run 4 for $135 is a promotion, which is 2 tops and 2 bottoms for $135, and that's something that resonates with our consumer. And while we have some branded product in there, it's primarily our private label product that's driving that. So really happy with the trajectory of where private label is at.

Richard Brooks: And I'd just add to Chris' comment, Mitch, that it's also -- it's more than -- it's really about a 5-year window here of where we've really worked hard at private label, reinvented our trend process, internally in the organization. And I think what you're seeing is a really great collective effort of our entire organization around what we believe is a requirement now of most new brands and the speed of brand cycles. Most new brands never get to doing cut and sew product. They're screenable businesses. So we have committed ourselves to owning that business through our owned brands. And then the only last point I just want to make that Chris echoed here is we're a full price, full margin here. And I think in these categories, these cut and sew categories in our private label business, I mean, we're in some cases, we're the premium price player amongst our competitors in the market. So it really says we're doing some special for customers.

Mitchel Kummetz: And are you seeing more strength on the women's side than the men's? And is that contributing to the outperformance of women's right now? Or is that not really the situation?

Richard Brooks: We have good strength across our private label brands in both men's and women's. The mix is different in terms of penetration, but there's good strength in both sides.

Operator: And our next question is of the line of Jeff Van Sinderen from B. Riley Securities.

Jeff Van Sinderen: Just a follow-up on Mitch's questions on private label. Maybe I missed it. Did you give the penetration of private label roughly what that is now?

Christopher Work: Yes. Year-to-date, we're running right just under 31% of total product and to Rick's point earlier, 5 years ago, we were right around 11% or 12%. So we have seen a large run in private label. Jeff, you've been around the story for some time. We've been over 20% in our past. In fact, we were over 20% as recently as 2015. And we saw that decrease that 11% to 12% across the end of the last decade, really on a heavy brand cycle. And now I think we're seeing our private label drive higher numbers than we've seen in the past because I think it's really hitting on trend.

Jeff Van Sinderen: And so just -- I know this is a tough question, but where do you think private label penetration peaks out? Does that go to 40? Or is it -- are we kind of probably -- maybe you didn't expect it to get to 31, I don't know.

Christopher Work: I think it's a really good question, Jeff. And one, obviously, as you would expect, we spent a lot of time talking internally. But it will go where the customer wants it to go. I think, is kind of our answer here. I mean, we really appreciate working with our brands and the relationship we have with brands. And as we think about the cycles I laid out on your first question, I mean, when we went from 21% to 11% we weren't trying something different. We just saw brands really accelerate and saw brands become more important to our customers. And that's the direction we went in. I will say we grew product margin during that period too. And of course, in this cycle that we're in, we're seeing our private label brands really take off. And along with some of our brands. I don't want to paint any picture that we are more predominantly private label in our stores or anything like that because I think the branded element of what we sell is so important to what we're doing, and it's important to who our consumer is. I mean, you have to remember, this is a consumer that wants to individuate and be unique and different and we've talked over time about 20% to 30% turnover in our top 10 and top 20 because they're on to what's next. And that's an exciting thing about what we sell. It's also a challenging thing about what we sell because you've got to bring in newness. And I I'm just really proud of our buying team that they're able to do that both across our private label to bring in newness and also our brands.

Richard Brooks: And I would just add to Chris' comments, Jeff, that I agree with everything you said, and I'll just give you maybe a context is we will have another brand run again. As gate goes off, it's low, it's almost -- it is for us a completely a branded product cycle in skate hard goods. So we'll have runs there. So I think we may see situations where penetration looks like it's going down, but I don't think dollars are going to go down in private label. We'll still grow our business from a dollar perspective. So I think we'll have brand cycles, but I think where we dominate with our owned brands, we'll still be able to grow the business on that side of the business. So it will just be a shift in mix relative to the strength of branded cycles.

Christopher Work: It's a really good point because footwear is in that same bucket. Where in footwear, we just don't do private label. So we have a large chunk of our business that is going to be branded.

Jeff Van Sinderen: But Footwear has been kind of negative lately, correct?

Christopher Work: No doubt. This has been our toughest category. Yes.

Jeff Van Sinderen: Okay. And then -- so let me ask you this, whoever, which one of you wants to answer. What -- or who do you think you're taking market share from in North America? Do you think it's from the independents? Do you think it's from -- I mean, wherever you feel like however you want to answer that question. And then also, do you think that the demographic you're selling to is changing or evolving? Do you think you're picking up new customers with more private label, maybe more on the women's side? Maybe just I don't know if you give us any thoughts around those ideas.

Richard Brooks: Yes, I'll start, and Chris can add on, Jeff. I mean, we are laser-focused on our core customer and that the same core customer we've always been focused on, which is a young person, as Chris said a moment ago that wants to individuate and self-express their identity, they move through adolescent more so than their broader age demographic. So where we're, I think, benefiting is from this, and we may be drawing some people into that because of the faster nature of how I think how forward we are on trend. We may be trying some broader people. But I want to be clear, our focus is on our core consumer. And I think that's always a winning strategy as you think about how you serve your customers. You've got to start with your core consumer and hyper-serve them in this world. And that is our focus. And yes, maybe we are picking up in other areas, but it's because we're winning with, I think, what is one of the most influential consumers in the marketplace today, the person who's willing to lead on trend, that's our core consumer. And they may be bringing others along with them because of our ability to execute on behalf of that core consumer.

Jeff Van Sinderen: Okay. And then I'm sorry, on taking market share, any thoughts on who you might be taking some share from?

Richard Brooks: I don't have any significant thoughts on that. I think what's happened in -- and again, let's be clear, I think most of our gain, as Chris just laid out here, we've had some. We're starting to see some small transaction gains, but most of our gains has been through executing in, I think, on trend, partnering with our great brand partners and most of our gains have been driven by AUR over the last year, 2 years actually. Now I think we're starting to win some transactions. So I'm not sure -- I think we're reflecting the reality of the market that we discussed about the volatility of the market, too. And I think what it really speaks though, is that our execution levels is we're able to probably own more wallet share, maybe what we're really doing here because it's been AUR over the last 2 years that has really driven our gains.

Jeff Van Sinderen: Now in the November period that you just finished, I think the transactions, I believe you said were down slightly. I'm just curious, what did you see in store traffic during this latest period?

Christopher Work: Yes, I'd have to break it into 2 different regions because on a consolidated basis, we were down slightly. We were up in North America, and we were down slightly in Europe. Even though Europe ran a comp, again, more AUR, DPT driven than transactions. So we did see a transaction gain in North America. And I think what we saw traffic-wise was decent comps actually throughout the month with week 4 being by far our strongest though. We saw, I think, a really good pickup similar to how we saw Q3 where we saw back-to-school be really strong. And then it actually stayed more stable than we anticipated through the back 2 months of Q3. We saw the same thing in November, where it's stable and good comps, weeks 1 through 3, but week 4, definitely more impressive.

Richard Brooks: And the longer term here, Jeff, what I'd tell you is, as consumer's income levels catch up with the rates of inflation we've had over here. I think we're -- the next phase, we're starting to see that. I think as we saw in back-to-school, we ran comp gains as Chris saying here in North America in November. As consumer incomes catch up with the rate of inflation, I think we're going to turn and we'll now be capturing transaction rates. Victor, do we have any more questions from the group?

Unknown Executive: I'm not sure if Victor dropped. This is Jill. Jeff, I see you have a follow up?

Operator: I see Jeff Van Sinderen is still in the stage.

Jeff Van Sinderen: My questions were answered.

Operator: And I'm not showing any further questions in the queue at this moment. I'd like to turn the call back over to Rick for any closing remarks.

Richard Brooks: All right. Thank you, Victor. And I'll close with just my best wishes to all our -- to all those people who I greatly appreciate following what we're doing here at Zumiez, and wishing you all a very happy holiday season. Thanks very much.

Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.